Operator: Greetings. Welcome to the Pressure BioSciences Q4 and Fiscal Year 2022 Financial Results and Business Update Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Richard Schumacher, President and CEO. You may begin.
Richard Schumacher: Thank you, John, and welcome everybody to our fourth quarter and fiscal year 2022 review and business update. Before I begin with the actual call, I need to read a cautionary statement. The following remarks may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties, and other factors which may cause the actual results, performance, or achievements of the company to be materially different from any future results, performance, or achievements expressed or implied by such forward-looking statements. Such factors include, among others, those detailed from time-to-time in the company’s filings with the Securities and Exchange Commission. We expressly disclaim any obligation or undertaking to release publicly any updates or revisions to any forward-looking statements to reflect any change in our expectations or any change in events, conditions, or circumstances on which such statement or statements have been based. So before we begin, I am pleased once again to welcome back to the PBI financial review and business update. Two guys who are super important to the company and to the future success of PBI are John Hollister, our Director of Marketing and Sales and Jeff Peterson, our Board Chairman. Welcome, gentlemen.
John Hollister: My pleasure.
Jeff Peterson: Glad to be here.
Richard Schumacher: So for today's meeting, we're going to start with a brief discussion of the 2022 fourth quarter and the fiscal year 2022 results and we're going to highlight some of the successes we achieved during the fourth quarter and the year to date in 2023, as well as some of the goals for the rest of 2023 as part of a general business update. Afterwards, we'll answer a handful of questions that have been sent to us over the past pretty much two weeks or so with a request that they'd be asked and answered on today's call. And if there's time remaining, we will be pleased to open up the phone lines, as always, to take a few extra questions that may not be among the ones that have been sent to us. So let's start with the financial review. Fiscal 2022 versus 2021, we certainly know that 2022 was not a good year for us. I'm not going to go through all of the details. Everybody was sent that both in the K and in the press release, our revenue was down, many things were down in 2022 versus 2021. We made a bold move in May of 2022 and that was to pivot the company and to put about 85% to 90% of our resources into Ultra Shear Technology, which is what we did. When you do something like that, you fully expect that there may be an issue with the results. They come back as you're preparing for something that's going to change this company going forward much for the better. And it certainly did, but I am happy to say that in the fourth quarter we started to feel some of that efficiency and effectiveness again. And we had a very good one of our five or six best fourth quarters that we've had ever as a company. Our revenue in the fourth quarter was up when we compare both to the previous quarter, the third quarter or we compare it to the first three quarters of the year or we compare it to even the same quarter previous year, we just did very well in the fourth quarter. We did well for our overall revenue in Q4. We did well for sales of instruments, consumables, Agrochem sales, everything was quite good in the fourth quarter. As we started to work with this new way of putting most of our efforts into Ultra Shear technology getting ready for Ultra Shear and learning a lot as you're about to hear. And so, the fourth quarter was quite good and we've given guidance that the first quarter was even better. We've given guidance that you should expect to see -- obviously, needs to be reviewed by our auditors, but we feel like we've had a record first quarter. So we've not only had a good fourth quarter, but we beat it substantially with the first quarter. And our goal and we believe that we have a very good chance of meeting our goal is to have every quarter in 2023 beat the previous quarter, not the quarter from the previous year, but the previous quarter of that year. And so, we started that off by having Q1 be substantially better in our guidance and our belief than Q4 of 2022. And we started second quarter off quite well. And the exciting fact is that, we ran into a lot of problems with just getting the operations going on Ultra Shear and we think we're solving all of these and we'll talk about that. And so, we're going to -- on top of having good core business, what used to be our core business, we expect to see a lot of Ultra Shear in the fourth -- in the second, third and fourth quarter of 2023. So we are very much excited about what's coming ahead. I know it's hard to do, but we're asking people don't look back as it's a different company. When you look back to 2022 and 2021, look ahead and judge us on what we do this year. And we believe that we're going to do quite well this year. We've been spending a lot of time getting ready for what we think is going to be a very exciting 2023. So in addition, what I want to talk about is, we did have an Agrochem sale. That's very important because all of that material has been paid for. So we announced $130,000 Agrochem sale that -- the revenue from that is due in next week and that's -- it's nice when you have revenue coming in where it's not against any cost or it's against the cost that you've expensed previous year. We also had a write down because the Agrochem sales have been very slow and based upon what the auditor and account have told us, we needed to write down our reserves. So there was a big write down in the fourth -- and the operating loss was a bit high because of the write down in the fourth quarter of the inventory and Agrochem. And would you know it, a week or two after we decide to write down, we get $130,000 order. And we believe that we're going to be getting other orders. We absolutely believe that this might be the year where we sell a lot of that inventory and that's all like frozen money to us. So it's going to be great when it comes in. So we also had a very large sale in Pressure Cycling Technology, PCT. I need to make sure that everybody understands that we did not have a record first quarter of 2023 because we booked 16 instruments, we only booked four because the group that is -- that gave us and paid in advance for the instruments is wanting about four a quarter for the next -- for the first four quarters of -- for all four quarters of this year. And so, it wasn't a record quarter because of that sale. We had four, which is, a usual four or five is a usual amount that we would sell in a quarter. But we have sales that we'll be booking for the rest of the year, probably about $100,000 to $150,000 a quarter just in PCT from instruments that are already sold. And John, who's going to be talking a little bit after me is going to tell you that that the sales in that area in our pressure systems are going up as they are anyway on top of the PCT. But everything to us is really in Ultra Shear going forward. We're not forgetting all the 400 or so customers that we still have that have purchased the PCT instruments. We're still getting record numbers of orders of PCT, so we'll continue in that area, but we're putting 90% of our effort into Ultra Shear. On the operational and technical highlights, I'll talk about a few and then we are going to get into the questions that people sent us and then, again, afterwards if there's time we'll open up the phone lines. I've put down about six or seven things that are very, very important, that have happened so far this year. We've made major progress in resolving a number of capacity limitations that we ran into. And we'll talk about that, but we've made major progress culminating with today's press release and we'll talk about that. The early data that we released, which was extremely well received, that early data on THC marketing study showed that in an edible usually the first effects of THC are felt. Some people say in 30 to 45, most people say 45 minutes to maybe an hour and 15 minutes, the first effects. We had 15 volunteers, they felt those first effects in the first three to five minutes on a tincture. On a tincture underneath the tongue and the first effects were felt very, very quickly. So people taking THC or any type of cannabinoid, maybe it's CBD or CVV or something or if they're taking another nutraceutical, our technology gets that material in their bloodstream very quickly. So we're very excited about the results and we're doing a follow on study. Jeff may talk about that briefly, but we're doing a follow on study and we're trying to bring in more than the 15 that we had in the first study. We hope to have that study done in the next week or two. And I can say that, so far everything's great. The data getting in generally are corroborating what we already presented in our earlier marketing study. So the effects of Ultra Shear are profound in an edible and of course, we can tell it in THC, but we can extend that out to many, many other active ingredients that are in oil that we nanoemulsify. They're going to get into the bloodstream very, very quickly. We have started to talk about a CBD study. We hired a terrific group in an academic -- U.S. based academic institution to do a study in animals, in small animals and rats and to see how well our CBD holds up compared to other nanoemotions that this group has worked with in the past and we started to talk about it. We expect that the data -- we had hoped that the data would be presented and publicized in a -- published in the peer review journal by the end of December. There's been delays, but we have reason to believe that the publication should be happening in the next, we think two to four weeks. We have reason to believe that the data are going to be outstanding as they relate to our nanoemulsification process compared to anything in the world. So we now start to tell people, we believe that we have the best-in-class process in the world and we have reason to believe that. And we, like you, we can't wait for this study to be published. And we're working on other studies also and we think that these -- all of these studies are going to profoundly show how good our process really is compared to anything on the market. We have received several more orders. We actually did a processing run today and we hope to ship 500 or 600 vials to a couple of companies. One that we've already announced $1.5 million that we think it's worth about $1.5 this year, still think it is. And another one that has the potential to be worth $1 million, but they wanted to start with a small pilot run of 200 or 300 vials and that's what we've done. So we finished that run, it went very well. But because of limitations in our current facility, it fits right in of being able to do a few hundred bottles. But our goal is to do thousands and tens of thousands and millions of bottles or vials, whatever you want to call them and we can't do that in the facility we're in now. But again, John and Jeff and I will talk about that in just a minute. We think that the opportunities are quite big outside of THC and CBD, we've been working with one group that's a multibillion dollar multinational group in a nutraceutical that is, we believe, this year will come to fruition where we may be doing a strategic alliance with them in one or more areas. And we've also talked about the fact of wanting to do some immune boosters, which are quite popular, but it doesn't really work if you take an immune booster that might have curcumin and astaxanthin and vitamin E3 and you don't get very much of it into your body, we believe with our process, you'll get the vast majority into your body. So we're excited about, we're talking to different groups about doing an immune booster nanoemulsion nutraceutical. And as I said in the press release, we still expect and we still plan, it is still our goal to look at an uplift later this year and we can talk about that. So at this point, that's the background. We had a bad year. We apologized to everybody for that, but everybody, I believe, will forgive us when we execute -- as we're going to execute the rest of this year because we made a very conscious decision that we need to put the vast majority, 90% of our efforts into Ultra Shear and that's what we're doing. And we run into a little bit of a headwind. We fought our way through the headwind. So let's talk about that. So we have a handful of questions that we've been sent. I'm going to read the first question and then Jeff or John, when they're more appropriate to answer it. You've heard enough of my voice. I'm going to ask them to answer it. So I don't know who sent these in. I do know they were sent in and I'm going to read the question and I think we're going to cover a lot of bases. And then, if there's time, we'll open up the phone lines.
Richard Schumacher: So the first question is, it was made clear during our PBIs 2022 Q3 conference call, which is the last one we had, last November. And we had three separate CBD oil processing contracts, which we did, each potentially worth about $1 million for a year initially. And then we expected others to follow on. And we also had one cosmetic partnership and we've had a number of press releases, news releases on that with Dr. Denese SkinScience. Please summarize where we stand on these three CBD oil contracts, especially with respect to the Tier 1 to 3 batch processing and the total revenue received or expected to be received for your deliveries. It was made explicitly clear by the PBI team that your first contract with Safer Medical, Tier 2 run will be completed in January at the latest and the Tier 3 and these are pilot runs as they test them out and do their test marketing would be done by the first quarter's end. Also please provide a summary of the developments with PDI's cosmetic partnership as appropriate. So, I think some of this Jeff you can take and then I think some of this when you're done speaking to it perhaps turn it over to John.
Jeff Peterson: Sure. So I think to begin with, it's helpful to remember that last year we announced that we're working on meeting the demand for initial orders ahead of our facility being prepared for full commercial launch. And we announced an early access program that was targeted to satisfy demand for early demonstrations, for product development and batching’s for test marketing. The advantage of this stepwise approach is that, it also allows us to work out challenges encountered through the phases of product development and processing through some scale up as well as any equipment or facilities issues. And these kinds of challenges were ranged into several areas, some in materials. So for example, the spray bottles that just worked right for our preservative free product or it turned out to not be right for our preservative free product. And we were having some difficulty identifying bottlers that were willing to even accept the service small and medium sized orders with supply chain issues going on. There's just been a lot of challenges and some of these smaller test market size kind of requirements just weren't satisfactory on the supplier side. Or they didn't have the capability to provide clean sterile manufacturing and packaging that we required. So those were interesting initial challenges. We also had challenges on the customer side that weren't used to getting liquid products shipped to some historically cold locations, which was interesting to work through. In addition, we had the plan to convert part of our warehouse space at our headquarters into an Ultra Shear production suite and had done a lot of work in that direction. And we learned during the first quarter of this year that our local zoning has significant limitations regarding the volume of processed cooling water that we could return to the city. So responding to these challenges, we have a new innovative spray bottle design and even alternative [indiscernible] and suppliers now that are adding further value to our already game using nanoemulsion solutions and we've already begun receiving supply of the initial production lots for these new spray bottle designs. So we're very excited about that. And with the announcement we put out today, we have a leading process engineering and equipment manufacturer Artisan that has now begun working with us to provide appropriate and scalable facilities for our toll manufacturing capacity requirement to serve customers through their early requirements. And as commented in the press release today, I was fascinated about a personal connection and straight out of MIT decades ago, one of my very first jobs, I ended up working with some very innovative Artisan equipment to solve some challenging advanced material problems and had a terrific experience in working with them. So, I was just delighted to see this come together and we now have both companies very exciting to be working with each other and we're already discussing our plans to meet long term needs for Ultra Shear equipment production that would serve our lease and license business model for customers that get to appropriate scale and want to internalize Ultra Shear into their in-house manufacturing. So a lot of challenges and some great exciting progress and then how we've learned, adapted and [indiscernible]. But maybe I'll turn it over to John and ask him to give some further color on how we're serving the contract we talked about and on the cosmeceuticals partnership.
John Hollister: Thanks, Jeff. I appreciate that. And obviously, the commercialization of the early access program was a struggle. We've learned an awful lot. Having said that, our issue isn't that we can't get customers because people have been coming to us wherever we are. When we go to meetings like the MJ Biz Conference, a huge conference in Las Vegas, where we were just inundated by people who are coming up and complaining that their “nanoemulsion processes they've been trying to do are just not working. Sonication just has not been effective. The devices from other companies in the market get clogged up and don't produce stable mineral motions like ours”. Our issue has been, we haven't had a proper facility to produce the materials and that's why the news that today is really exciting so that we can get back to fulfilling the contracts that we already have in place and the additional ones that we've been gathering since then. So it's not for a matter of not having the business. It's now we need to execute against the business. So over the next 30 to 45 days we will be in a position to, one satisfy the first three customers that we were talking about at the end of last year. But actually start offering and announcing orders that we're working on right now and which will add to a considerable uptick in volume for the balance of, not only this quarter, but for the year. There was also a question about Dr. Denese. And it's been great working with her. She is literally a phenomenon in the industry, both her knowledge, but also her professional presence in the marketplace. It's no surprise that she's been a successful -- we've been making progress over the last couple of months on her next generation anti-aging skin serum, which is really going to change the market. In a couple of months, we will be on goal to -- [indiscernible] very formal process of testing, rigorous testing of these products before they get released. But we still believe that this product will be on QVC by the end of 2023 and that will open our doors for a whole market segment of regenerative skin and all sorts of cosmaceutical business that we believe will be pounding at our doors after that goes out. So at this point, I'd like to turn it back over to Rick.
A - Richard Schumacher: So, thanks guys. And I will add one thing to it. One of those contracts was with John Westlake who's really a guru in the cannabis area. He knows so many people and knows so much about the area. So one of the contracts was with John and John thought that he could do $2 million or $3 million himself. But once we got to know John better, we realized that John could probably do much more than that if he were working with us and not just a customer. And so, we talked to John and we talked a little bit about this in previous conference calls. So we talked to John about maybe coming on board as an independent, but coming on board as a key master distributor. Somebody that would not only be able to satisfy local, but nationwide and even North America and set up sub distributors and because it's a huge market out there for a huge market. And so, it would enable us to John who's on the phone and in particular be able to set up as he builds his sales team to look towards things like cosmeceuticals and nutraceuticals and let someone who's adapting the area, someone who knows the area inside out. John Westlake handle all of the hemp derived products that we're going to be developing. And John said, I'd like to do it. I very much like to do it. So we're working on a contract where we've agreed in principle, I believe we'll get that contract signed in the next week. And then John will be on his own and he'll be out there. And I believe he'll be closing a lot of contracts for us. So, while we're moving into the space that's been offered to us from Artisan, which is only going to take about 30 days, maybe 45 days. Then John is going to be out there getting contracts and we told him don't hesitate, because the facilities that we're moving into will allow us to do multiples more of what we can do here. We thought we could do it here, but as you -- that's why you do your pilot runs, you learn and we learned everything from the town coming in and saying you can't put that much affluent out, the water out that's cooling your system out into the septic system and to many other things. And so, we've learned and we reacted very quickly. We first looked at trying to find other space and we found other space, but we said this is going to take three to five months to renovate. And then we talked to our friends, which John Westlake introduced us to at Artisan Industries, a 85, 90 year old company that's universal reputation terrific around the world. And they welcomed us with open arms. We had that press release today. So the impact of changing from working here to working six miles away is going to be very short. And during that time John Westlake is going to get us, I believe, a lot of contracts and we've talked to all of the people that we have contracts with now everybody is understanding. We are still doing the small pilot runs here. But 45 days, maybe even sooner than that, we're going to be doing a lot more business in our new facilities that have so much more than what we have here. To be able to do that in 30 days or less is terrific. So kudos to my staff who really were able to take what could be really a bad downtime for four or five months to where it's not going to be downtime at all, because we're going to be there in 30 days processing. Second question is with respect to publishing the CBD oil by availability study and I'll mention just what that is for those who haven't heard about it. The PBI team was hopeful that it’d be released any week when we discussed it in November, but was rather certain that it would be out by the first quarter, which we were. Any information as to why the delay. We're not going to get into specifics other than to say that the principal investigator, a world renowned scientist in the area of cannabis and cannabinoids get COVID and was in the hospital for over four weeks, most of the time on oxygen and it caused, of course, a major delay. He's out. He's well. Thank goodness. And we received word today that it is starting to move along quite well, which is why we feel that we could say within two to four weeks, we think this study will be out. We think this study is going to really shock a lot of people. We think it'll prove the point that we actually have the best-in-class method of making nanoemulsions in the world. We really believe that. So we're as frustrated as everybody else, because we know the impact that this study should have once it gets out. And we're going to follow with other studies. But just to remind you, we did a small THC marketing study that Jeff actually ran out in the San Francisco area and it proved our point, three to five minutes on an edible, feeling the effects of THC when normally you'd be waiting 30 to 60 to 75 minutes. And that is the holy grail. I was told early on, Rick, if you can reduce the window in THC on an edible, you have all these people that don't want to smoke, they don't want to vape, but they want to take some because it helps them sleep. It helps them with their appetite. It certainly helps them with their anxiety. Whatever it is that it helps them with, they don't want to smoke or vape it and they don't want to take something and wait 30, 60, 90 minutes to have an effect. So they said the holy grail here, Rick, is try to get -- try to reduce that window. And honestly, we've reduced the window. our processing Ultra Shear reduces the window. I feel very confident in saying that we've reduced the window on edibles to where it's just a matter of minutes to start feeling the effects. So we're excited and hoping that in the second quarter, maybe even before the end of -- maybe even before Memorial Day we will have those data and they'll be published. The investigator has said he plans to publish them in a peer reviewed journal to give them the authenticity they need. So the third question talks about, I guess we have been using the word bottle. We've been using the word spray bottle. We've been using the word vial. Exactly what are these things and John, this is best for you.
John Hollister: Thanks Rick. Yes, I was just listening to our presentations from the three of us in we use these terms interchangeably. So we apologize for that, but understand that when you hear the term vial and bottle, they typically are referring to the small one ounce or two ounce bottles with the cap or spray on it. Some people -- it was interlinked, he came out of the labs at Harvard. And so his terminology for it is a vial, in the industry we hear lots of different terms. I should also point out that while we are talking often about these little, what are called final forms, kind of presentation that you see that the consumer purchases that has a label on it and comes often in a box or you buy the store or over the Internet. That is one form and we will certainly be in that business and that's where we've started. Because we were filling these first customers request and sample bottles in these small spray bottles. Ultimately, our business is going to be in processing larger volumes of product and shipping them in larger volume containers which we will likely be referring to as totes, whether they are a liter bottle or tote or 1,000 liter totes, which is roughly 264 gallons, it weighs a ton. And so they're large and get moved around with pallajax and that material will either be put into as a final form into a little vial or bottle or whatever you want to call it or it will actually be infused into a sport drink or into a gummy bear or into other combinations of products like nutraceuticals maybe a combination of two or three different nutraceuticals that are in one tablet, it could be in a lot of different forms ultimately because it's highly concentrated product, it's more readily available for humans, which is again upside to this material. It will take -- in terms of many of these products, only a fraction of a milliliter will be the dose if you will in a sport drink. Literally one 12 ounce bottle or eight ounce bottle of a coffee drink would have literally a quarter of a milliliter or half a milliliter of a CBD nanoemulsions like our product. That's the -- one has to kind of wrap themselves around a leader of material could be 4000 or 5000 or even more doses for the final form for customers. So I think hopefully that helps a little understanding of our mixed use of our different terms.
John Hollister: I might hop in here just to add a little more color to that. The area of cannabinoid containing beverages, while still small within the entire cannabis market is far and away the fastest growing segment and it’s viewed as something that will become extremely important in the product mix. And that ranges from products that are intended to be fairly concentrated down to what's probably the biggest growth end of it, which kind of mimics the way the market for alcoholic beverages has developed where there's a lot of interest in things that can be consumed at relatively low dosage, just think of a so called session beer. And the cannabis products will likely have many different configurations that mimic that, where there's literally maybe two, three milligrams of THC or small doses of CBD that are in the product. So that's going to become a very important part of the mix and the industry is very focused on it. The other commentary I'll provide on some of the cannabis studies and bioavailability and so on, Rick was talking about the comparison edibles. And I'll just emphasize that in the work we've been doing here with THC and with CBD sprays, whether they're oral or topical, these are basically transdermal delivery routes. So when we talk about an oral spray, the intention here is not so much inedible but the ability to spray into the cheek or under the tongue and use the faster transdermal absorption route that you get there in order to beat the slower metabolic consumption pathway that you get in the gastrointestinal tract from eating it. So I'll just make that point of clarification that what's so exciting here is capturing the transdermal capability.
Richard Schumacher: And I'll add one more thing to that and then we'll go on to the next question. And what I'm adding is, I realized that we have -- looking at a list that we have some new investors and stockholders on the call and so I think I'm just going to take 30 seconds and just define why we're so excited about nanoemulsions. Not all nanoemulsions are the same, the reason people like nanoemulsions, which is basically just think about mixing oil with water and the oil contains an active ingredient. So you want to -- your body wants to absorb the active ingredient out before the body excretes the oil, because we don't store oil, we get rid of oil and it's a fight between the body pulling out the active ingredient, maybe that active ingredient is a supplement and antioxidant like vitamin D3 or curcumin. Maybe it's a pharmaceutical like prednisone. Maybe it's a cosmetic going through the skin like retinol or a 1008, maybe it's CBD or THC. So it could be -- maybe it's an agrochemical on a leaf. So there is that -- the reason we think so highly of nanoemulsions is that, if you break the oil, we're not touching the active ingredient. If you break the oil down to a nano size, just call it a nano size, a true nano size, it has the ability to basically look like it dissolves in water. So it goes into the water gets transported through the body and it gets absorbed out very well. And it also becomes clear. So you know if you've got a really true nanoemulsion by spraying into water whatever you buy and if it just turns oily, you don't have a nanoemulsion, which means it's not going to be absorbed as well. It will not have the same long stability. It will not have the same bioavailability. So that's why, because a true nanoemulsion gives you very long stability. It gives you great ability to absorb it out of the oil and make it available for the biology of your body, the bioavailability. So you can prove as we are proving in our study, marketing studies then in the animal studies, that the CBD or THC or other active ingredient actually gets out to a high level of bioavailability, you're onto something big. And guys, we're on to something big here because we've looked at the data and we're very excited about the data and can't wait to see more and more data published and we're going to continue to do studies. So I wanted to just explain why we're so excited about nanoemulsions. So the next question is, it's really talking about how we're going to manufacture. It's one thing to manufacture 600 vials, but it says any how long -- any idea how long it's going to take to manufacture like the CBD supply MD announcement we made where we think that contract and they think contract could be worth $1 million to $1.5 million or more to us in the course of a year. They are an active company selling a lot of CBD. They have a website, they sell all over the U.S. And when this first pilot run gets done, which it's being run today and when it's done and shipped, and we send it to them, we're going to put on our website, their website because if there's one thing -- I probably have 25 investors who said this really works, how do I get more? And they're going to be able to get more to buy it through CBD supply MD or maybe in through [CapeAN] (ph). We haven't talked about CapeAN, but CapeAN is a small wonderful group here in Massachusetts that we're going to make a couple of hundred bottles for it, at the same time we're making the bottles for CBD supply. And they'll -- both of these companies will put their label on it. It's not our product. It's their label. They will label it and they'll put it for sale on their website. And we're going to let everybody know where they're going to be able to get it. So the basic question was, how are we going to handle all this? And I'll just take a stab at that. I came from a company that I founded many years ago called Boston Biomedica. We became the largest supplier of controls and calibrators for infectious disease in the world. We are supplying 36 countries about 3,500 different customers in 36 countries for all kinds of things in what I call vials, calibrators and controls for infectious disease testing and we set up -- we started out just like we're doing here, doing these by hand and we ended up having machines that did all of the vialing, all of the capping, all of the filling of the vials and bottles, very sleek operation over the course two or three years, because we went from doing a few hundred as we're doing now to doing tens and hundreds of thousands and we became the largest supplier in the world. That's exactly what we intend to do here. So this company will grow and as we grow, we'll bring in the machinery that will help us do not 10,000 -- not 600 not 6,000, but 6,66,000. We're thinking big because we know the market is that big. So the next question is if PBI were to have multiple contracts, which we do have and we think in the next 45 days we will have multiple contracts. With many clients is production throughput capable of handling multiple customers at the same time. John, you want to take that?
John Hollister: Yes, sure. Production of different products will definitely be done sequentially. I mean initially, we're going to have a couple of different systems with a major one will be the first set up to produce three or four liters per minute. And that's the processing. But for each product you're running, you'll actually do the production run, you'll shut the production run down, then you'll do a cleaning or we'll do a cleaning and sterilization process for that before you then enter into a next product. Obviously, our intent will be to have over the course of the year not one system doing that but multiple systems doing that. So that you -- that we will ultimately have in parallel systems running different products or maybe the need is to do a product very quickly on multiple systems simultaneously to manage the needs. And this is just going to be done in a stepwise fashion, to do it all at once would be overwhelming, we just couldn't do it. But we will build into that and we definitely will have the demand to keep these machines operating, I'm convinced that I just had too many customers from too many different markets who have expressed their intent to have product done quickly. And that doesn't include really longer term products like the pharmaceutical area where we already are getting inquiries, but that always takes a little bit longer. And then ultimately, we're going to have to and we've been talking about the demand for small units that people want for formulations for the devices themselves and that presents a whole another opportunity for us as a company. So in answer to the question about multiple contracts with multiple clients, we're going to have those and the process for production will be, each machine will run a product line. It will be cleaned probably at the end of one day, but theoretically you could do two runs in a day. It takes about an hour or so to shut down the system clean it, make certain it's operating and sterilize it and then go [indiscernible]. And so if you're doing small runs, you could theoretically do two runs on the system in one day. But generally speaking, it's going to be one full day's run for about 7 hours and then clean and then the next day people come in and use that machine for something else, obviously, we do have the opportunity for considering multiple shifts. So the capacity could be as much as three full shifts in 24 hours. I think that probably answers that.
Richard Schumacher: It does.
John Hollister: Yeah. There we go. Thank you.
Richard Schumacher: Thanks, John. I see the time as it always does is clicking by. The next question which is a very important one to me because I know the value of being on a national exchange was how are we going to get listed? What are the requirements and do we qualify at this point? No, we don't qualify at this point. Most companies that try to go on NASDAQ or New York Stock Exchange, many of them have to do certain things to qualify. We have a lot of debt. We have too much debt to qualify. We don't have enough cash on our balance sheet to qualify. We do qualify in many of the other areas. So I can assure you that of the multiple areas that you need to qualify, which I'm intimately aware of, we qualify in many, many areas. We certainly have the number of stockholders and many we have audits every year going back not just two or three years, but going back 20 years. We hold conference calls like this after we do things under full disclosure, we qualify in many ways. It is an absolute goal of ours to get on the NASDAQ. I've either founded or co-founded four companies, they all went on the NASDAQ. So I'm intimately involved with how that works and how to run a NASDAQ or New York Stock Exchange company. And we all know what we're going to have to do to get there. And some of it will be a little painful and some of it -- but one thing is for sure, it's going to come, what's going to help is what we're doing now, which is getting ready for multiple contracts for ramping revenue because we have -- we believe we have the technology that in Ultra Shear that will get us there. What I will say though is that, I've talked to investors for 30 years running companies and I can tell you that a lot of investors want you to have the money to succeed, but they don't want you to raise the money and dilute the company. So there are other things that can be done. And I am a member of the board. Jeff is Chairman of the board. So Jeff we're running out of time, but can you just spend a minute or two about some interesting topics, discussions we've had at the board level in the last few months?
Jeff Peterson: Sure. So relative to the pathway in preparation to up list, there is obviously challenges in improving the balance sheet and in how we capitalize the company to finance growth and get to our stockholders equity targets and so on. We have a great deal of focus on the role of strategic partnerships that can service those objectives. Obviously, strategic partnerships can bring classical equity financing components, but we also have multiple opportunities and advance discussions on non-product revenues through these partnerships in licensing and some other structures. So I would just emphasize that we're working on multiple fronts, some nice progress that's already been reported on converting debt into equity, but we have a lot of focus on these strategic partnership component in the strategy for either equity financing or non-product revenue financing.
Richard Schumacher: So Jeff, you mentioned debt to equity. We did have a major announcement a month ago where our largest investor who's been very, very supportive of us over the years continue to be support and we thank him greatly. To us by converting $10 million of debt, some of which were promissory notes into equity. And we believe that that is going to be followed by others that will be converting debt into equity. So we have a lot of debt on the books because we haven't had the cash to do things. So we've used the cash through debt to get to where we are today, which is ready to pounce and -- but there's a lot of debt on the books. When I look at the debt and I know pretty much every single person we owe money to. And I'd say there's maybe 35 or 40 total of which maybe 10 are large and the other 30 are small. We take, as you can see in the case, we take investments from people at $25,000, $50,000 at a time and give them an opportunity to invest in the company privately, which is some people believe it's a better deal than in the market. So we have maybe 25 of those types of deals that we've done in the last two years. And almost everyone when the year is up from their debt, they roll it over again because they can get some more equity in the company. So what I'm saying is because we know these guys, if we execute and we're going to, if we execute as a company, and we do what we believe we can do over the next three quarters, counting the second quarter. Our goal is to uplift before the end of the year. And to do that, we need to get a lot of this debt off the books. One way to do it is to bring money in either through the sale of equity or through, as Jeff mentioned, strategic partnerships and deals that we're talking to people about very exciting and that way there isn't any dilution and have the cash to buy out the debt. The other way is to execute and have the investors who are holding the notes, say the last thing in the world I want to do is have you buy me out. No. I want to be able to convert this into equity and write it on the equity end. So if we execute that what we hope is going to happen is that the people holding these notes will say, don't buy me out. Let me convert it into stock and you keep your money, I'll convert it in stock and I'll be happy to be even a bigger shareholder. And so all of this requires on us executing and believe me, we understand it and it is high in our list. We are going to execute. We had some problems in the first -- in the last three months or so. We think we've solved pretty much all these problems. We're ready to start to show everybody what we can do. We thank you for your patience. It's awesome that many of you have stuck around and we really appreciate it. We owe you big time for all of the investors on the call who have not sold out on us but have kept your faith in us and we need to prove to you that you did the right thing and that's what our goal is over the next -- over the rest of this year for sure. We've just hit the one hour one minute mark. So we're not going to be able to take any questions unfortunately. We will be back together in about a month when we talk about what we believe will be a record of first quarter results. And by that time, I think we're going to have a few news events happening to help support what Jeff and John and I have been saying for the last hour. So thank you for joining us. We really appreciate it. Thanks for keeping the faith and we ask you to keep the faith a little bit longer because now it's going to for us going to get to be an exciting time. We worked through some issues. Now it's time to execute and to prove to everybody you've done the right thing by sticking with us. Thanks everybody.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.
End of Q&A: